Operator: Good afternoon, everyone and welcome to Bank7 Corp's First Quarter Earnings Conference Call. Before we get started, I would like to highlight the legal information and disclaimer on Page 22 of the Investor presentation. For those who do not have access to the presentation, management is going to discuss certain topics that contain forward-looking information, which is based on management's beliefs, as well as assumptions made by and information currently available to management. Although management believes that the expectations reflected in such forward-looking statements are reasonable, they can give no assurance that such expectations will prove to be correct. Such statements are subject to certain risks, uncertainties and assumptions, including, among other things, the direct and indirect effect of economic conditions on interest rates, credit quality, loan demand, liquidity and monetary and supervisory policies of banking regulators. Should one or more of these risks materialize or should underlying assumptions prove incorrect, actual results may vary materially from those expected. Also, please note that this conference call contains references to non-GAAP financial measures. You can find reconciliations of these non-GAAP financial measures to GAAP financial measures in an 8-K that was filed this morning by the Company. Representing the Company on today's call we have Tom Travis, President and CEO; J.T. Phillips, Chief Operating Officer; Jason Estes, Chief Credit Officer; Kelly Harris, Chief Financial Officer. With that, I'll turn the call over to Tom Travis.
Thomas Travis: Good afternoon. Thanks for joining us. We are very pleased with our earnings for the first quarter, and the company continues to benefit from our robust geographic markets in our pro-business environment, and we are really pleased with where we are today and we are really excited about the rest of the year. And so with that, we'll open it up for questions.
Operator: And ladies and gentlemen, at this time we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Brady Gailey from KBW. Please go ahead with your question.
Brady Gailey: Hey. Thanks. Good afternoon, guys.
Thomas Travis: Good afternoon, Brady.
Brady Gailey: So I just want to start with the margin. I know this is the first full quarter with the acquisition embedded. And I know that your loan fees were down a little bit, but like last year your margin was pretty regularly over 5%. It's now about 4.43%. How are you thinking about the margin outlook from here?
Thomas Travis: Who wants to take that one?
Kelly Harris: Brady, this is Kelly. We picked up an extra $100 million in debt securities in the first quarter, middle of March really. And so…
Thomas Travis: And that was on top of…
Kelly Harris: On top of the other $100 million.
Thomas Travis: That we picked up in December.
Kelly Harris: $200 million book yield is about 175, 176. So that really has weighted down our overall NIM in Q1. And I think it would be fair to say, as we continue to fund up loan growth as well as when those debt securities mature and move out of that bucket, you will see our NIM expand to more historical levels.
Brady Gailey: Okay. And I know, I mean, we've talked about the fee component of the margin, which I keep hearing you guys say that will normalize slower to about 50 basis points, but it's been higher than that just for years now. I know PPP is kind of nearing the end here, but you still think that the loan fees as a component of the NIM will still get down to that 50 roughly basis point level?
Thomas Travis: Yes. I think if you look at the data on Slide 8 – Brady, this is Tom. What you'll see is if you go back to historical levels, you can see a definite downward trend in that number. And so, obviously 2021 was really interrupted by COVID. And so I think that what we've been saying for some time that it wouldn't surprise us if the number got to 40 basis points at some point in our life cycle, it just happens as you grow. So I don't think that there's any belief on our case that that temporary March downward was anything, but COVID related.
Brady Gailey: Okay. Then you all had a pretty nice loan growth quarter. Ex-PPP was about 15% linked quarter annualized. Is there any reason to think that that will slow at all from here? Or is that a good run rate?
Jason Estes: It's interesting. We continuously kind of provide that feedback or input that we expect kind of low double-digit growth rates year-over-year. I don't really like to get into going by quarter-to-quarter-to-quarter because we go through phases and I think all banks, especially our size would go through this where you get kind of lumpy fundings and lumpy paydowns. And I feel really good about our new pipeline today. Obviously, the first quarter was good. What this masks is, we had heavy payoffs, really fourth quarter and first quarter. And so we were able to offset those, overcome it, however, you want to describe it through the acquisition and then through just nice organic loan generation. And so I think there's going to be a lot more pressure in the second half of the year on loan growth than there has been in the first portion of the year. So I still stand by kind of that low double-digit growth for the year. Wouldn't shock me if we beat that a little bit, wouldn't shock me if we came in on the low end of it.
Brady Gailey: Okay. And then finally, last question for me is expenses, the $6.4 million of expenses in the first quarter. I know there's maybe some noise with – I don't know if that is noise with the merger or any one-time charges or any upcoming cost saves, but how are you all thinking about expenses off of that kind of $6.4 million base? Is that a good base to grow from here?
Kelly Harris: I would say in Q1, there was probably about 250,000 related to one-time and/or some of the noise related to acquisition and expect to see something similar in Q2. But then after Q2, it should normalize.
Brady Gailey: Okay. All right. Great. Thanks for the color guys.
Thomas Travis: Thank you.
Operator: Our next question comes from Nathan Race from Piper Sandler. Please go ahead with your question.
Nathan Race: Yes. Hi, guys. Good afternoon.
Thomas Travis: Hi, Nat.
Nathan Race: Going back to the margin discussion, just kind of drilling into the outlook for loan yields going forward. Looks like ex-fees, loan yields came down by 20 basis points or so versus the fourth quarter. And I appreciate the disclosures in the deck around the kind of repricing characteristics of loan book. So just curious kind of what the weighted average rate on new loan originations were in the quarter. And if you guys are kind of expecting some pricing pressures on new volumes to be offset by just the repricing of the loan book higher as the short-end goes higher?
Jason Estes: Yes. I think in general, I don't see big changes in what we're booking now and what we've had historically. I think some of that decrease that you're seeing that happened in the first quarter as a result of a change in the loan mix. We had some repayment through whether they sold assets companies or refinanced in the fourth and first quarter where we had some higher yielding loans on those, some were hospitality. There was some shuffling in our C&I book as well that you had maybe some loans that were priced a little higher that were gone. And then our new bookings seem to be consistent and have been really for the last, I'd say, three quarters as far as what we're able to achieve on an interest rate and fee in most cases on new originations for fresh new business. And so I think there will be some pressure in the second half of the year on interest rates, but I still don't think that it's going to be enough to overcome the positive benefits of rising interest rates and our asset sensitive portfolio.
Thomas Travis: I guess, as I'm sitting here thinking about our pipeline that we look at every week, I'm going to take a stab at it, Jason. But the new – the net new fundings over the next 60 days, I'm going to say on an all in average excluding fees is in that 4.75 range.
Jason Estes: Yes. And it's starting to lift, but I think that's probably a good guesstimate.
Thomas Travis: Yes. So I don't know how that compares to what you're seeing Nat on that 20 basis points degradation. But yes, I think you're going to see us. If everything was static, you'd see us booking in that 4.75 range.
Nathan Race: Okay. Got it. And then just on the loan growth discussion. It looks like that was a nice driver in the quarter. Was that a function Jason of increase in manualization or just adding new clients to the bank?
Jason Estes: It was a nice combination of both.
Nathan Race: Okay. Great. And it also looks like energy on the E&P side was a driver as well in the quarter. Just some opportunistic clients there. What are you guys seeing in the energy arena these days?
Jason Estes: There's a very robust field out there for all kinds of opportunities. And I think you're seeing us stay with what we know, and that is the production loans with rapid amortization, hedge production, and in some cases some significant secondary support to go along with that, but very favorable deal terms for the bank. And frankly, that segment will help with some of that NIM pressure.
Thomas Travis: I would add to Jason's comments, Nat, that I don't want to suggest that we should say, we feel sorry for the energy space because their prices are so high. But it's quite fascinating if you look at the space with regard to the ESG pressure, especially on the equity side, there are. It is hard to describe how swiftly and materially the industry has been impacted by certain segments of capital that just say, we don't want to go into the energy space for ESG reasons. And at the same time, the world is dying for more energy. And so what is remarkable is that incredibly high quality. I would couch it as pretty much riskless transactions because of the hedging. And you have energy borrowers that if you want to charge 5.5% today or 5%, and it's really quite stunning at the magnitude and how broad and deep it is. And so when Jason talks about how that's a somewhat of a buffer, even though that's – what Jason it is 11% or 12% of the portfolio now.
Jason Estes: That's about right.
Thomas Travis: Yes. But it is – If we book energy credits and we are going to because we have quite a few very, very good opportunities, it's at a substantial premium and yet the risk isn't there. And so it's an interesting dynamic.
Nathan Race: Got it. Okay. And then maybe just one last one for me, just in terms of thinking about the reserve trajectory from here, obviously zero charge-offs in the quarter. You guys provided for some growth. I guess based on what you guys see out there, is there much in the way of loss content, it seems like that one non-performers still constitutes 70% of overall balances within NPAs. So just trying to think about the trajectory of the reserve from here, I would appreciate any thoughts along those lines.
Jason Estes: Yes. We haven't seen any negative turns of any meaningful credits or anything of any size. I can't remember how many quarters in a row, but I would say it's at least five or six where you really feel like each quarter, it just improves, the outlook improves and there's nothing that's happened that's changed that, but obviously there's a lot going on in the economy. And so we'll keep a close eye on it and make sure we're adequately reserved at all times.
Kelly Harris: I think that we're – I think I know that we are living within our range and the range in our company is always been between 95 bps and 130 bps. And so I think presently we're at the lower end of the range and there really isn't any need for us to juice it back up to the higher end of the range because we don't see any stress. And so I think in our budget this year, we had provided for the allowance to stay pretty, pretty constant in that low 1% to 1.05%, or I don't know that it gets 1% to 1.1%.
Nathan Race: Okay. Very helpful. I will step back. I appreciate all the color. Thank you.
Thomas Travis: Thank you.
Operator: [Operator Instructions] Our next question comes from Matt Olney from Stephens. Please go ahead with your question.
Matthew Olney: Hey. Thanks guys. I want to ask more about your expectations of funding in the loan growth this year. Do you expect to grow deposits or just fund that growth with some of the excess liquidity?
Thomas Travis: Yes. I think you'll see deposit growth consistent with what we've seen in the past. I think there's still quite a bit out there.
Matthew Olney: And then I guess second part of that is, thinking about deposit repricing with higher rates, and you gave us some great disclosures on the loan side on Page 7, but what about on the deposit side? I'm curious what your expectations are and are you increasing any deposit rates so far and just some commentary maybe about the overall core markets and how much pricing discipline you're seeing so far? Thanks.
Thomas Travis: Yes. We actually had to revise our budget. When we initially were budgeting, I think along with most people back in the December timeframe, there was belief that the Fed was going to do 25 basis points and however, many times they were going to do it. So we finished our budget and then things kind of went bonkers in late December and January and early February. And so we revised our budget and we carefully budgeted for – basically we put in our budget 50 bps in next week and then another 50 in June and then I think we did maybe 25. And then what we did on deposit beta as we went by – when you look at our – the mix of our customer base, it's almost exactly 50-50 on business purpose deposits versus consumer. And so that dynamic, we have a substantial book of entrepreneurs that are really less focused on deposit rates and then they're really more focused on the credit side of the bank and getting the benefits from our credit apparatus. And so therefore, when we attack the cost of funds budgeting process, we took that in mind – kept that in mind. And so we're very confident in our deposit betas and our ability to, I would expect us to have really good favorable deposit betas because of that dynamic. And so when you look at the impact of that in conjunction with the asset sensitivity that we displayed in that one slide, we're very bullish on 2Q. I would say that we're bullish on 2Q and very, very bullish on 4Q – 3Q and 4Q with regard to the assets really pricing up and our ability to hold our cost of funds down.
Matthew Olney: Okay. That's great.
Thomas Travis: I would also add that it's somewhat related that when you start thinking about the bank, the great loan growth that you noted that Jason talked about, the great percentage of that loan growth occurred very late in the quarter. And so we didn't have the benefit of that growth for the full quarter, which is another factor that makes us feel really good about not only the deposit betas and the asset sensitivity, but the full blown effect of putting more loans on the books.
Matthew Olney: Yes. Okay. Perfect. Earlier in the call, I think Kelly mentioned some of the one-time expenses in 1Q and possibly again in 2Q. Was there anything unusual from the acquisition with respect to NII with any kind of deal accretion – purchase accounting accretion? Just trying to appreciate there's any kind of noise in that first quarter number.
Thomas Travis: We did sell the Yukon branch in March. There was a $440,000 gain with that, that we took against goodwill – lowered goodwill. And then there was some purchase price accounting adjustments also that increased goodwill. So I think the net increase at goodwill was $330,000. I mean, outside of that was the…
Kelly Harris: Net decreased to goodwill.
Thomas Travis: It was a net increase.
Kelly Harris: Increase on which one, you mean on the gain?
Thomas Travis: $440,000 gain lowered goodwill, but then there was some purchase price accounting adjustments.
Kelly Harris: Oh, sorry. Yes, I didn't focus on those.
Thomas Travis: The net increase was $328,000, $330,000. And outside of that with the ongoing deconversion and conversion cost related to the acquisition that I spoke to, you're really looking at 250,000 net ops on non-interest expense in Q1 and Q2.
Kelly Harris: But I don't think any of it was considered material.
Thomas Travis: Correct.
Kelly Harris: Right.
Matthew Olney: Okay. Got it. And then I guess thinking more about the efficiency ratio and improvement signal from here. I think we were in the mid-30% range last year, obviously with the M&A deal jumped up. Can you talk about kind of the roadmap to get back to that mid-30% range, kind of what you guys need to see to get back there?
Thomas Travis: Yes. I think we've tried to signal at the acquisition that two negative events were going to happen. One was going to be a decrease in the NIM because of the securities and then the efficiency ratio was going to have. We felt both those were temporary changes. And obviously for a lot of other reasons, we like the acquisition when we did it and we really like it now because it's coming to fruition because the ROE is going up and some other factors. And so – but I would specifically say that, if you look at our budget and our expectations, I think it's more realistic that the efficiency ratio settles in maybe in that 37% to 38% range, which I don't know if it gets back to 35%, it just depends on if we can remix the balance sheet and the securities and get a little more revenue. But we've always said it's going to be really difficult to live at 35%, but we'll take 38% or 39% too. So I think that's probably the best way to say it.
Matthew Olney: Yes. Okay. Thanks guys.
Thomas Travis: Thank you.
Operator: And our next question is a follow-up from Nathan Race from Piper Sandler. Please go ahead with your follow-up.
Nathan Race: Yes. Thanks for taking the follow-up. Just a question on capital. PE really wasn't impacted like most peers this quarter because you guys don't really have a large securities book. So we'd just love to get some updated thoughts on kind of the buyback appetite from here, obviously, your stock like most peers has been under pressure over the last few months. So just curious how you guys are kind of weighing buyback opportunities versus other opportunities to deploy excess capital?
Thomas Travis: Nat, we're a broken record and we have somewhat of – I don't know if I should use the word unique dynamic, but listen, we trade pretty much in line with peer on a tangible book value basis, but we're far below on a PE basis and we – Brad always says we get penalized for making too much money. And so I know that it's quite interesting. It's the eyes of the beholder, right. So if you look at our stock priced and if you ask that question and if you remind is either consciously or subconsciously driven more by the PE ratio, it's like bye-bye-bye. But if your mind is more driven by tangible book value multiple and where we're trading, then it's less, less so. And so we don't ignore those factors and we appreciate people's perspective. However, we've been consistent from day one that we're opportunistic stock purchasers just like anybody that maybe on this call or that may have already bought our stock or anybody else in the market. And so we think anytime the tangible book value multiples are where they are, it's less opportunistic. And that's not to say that we're comfortable with the stock valuation because we think that we should get a higher valuation on a PE basis based on our strong performance, but we're just not prone to rush out and repurchase the stock and that kind of a environment doesn't mean to say that we wouldn't, but we don't have any pre-determined belief that we should really jump out there and really try to be eager and anticipate that we're buying stock really cheap because of the PE multiple. And I think that – look, if we were a company like First Financial in Abilene that had been on the market, been public for a lot longer and they're benefiting from that higher tangible book value and that higher PE, there's a few others out there, Frost Bank. And then I think that that strategy maybe – it would be a lot easier to buy into that PE discount number, but for us, we're not in any hurry to do it. And the other thing is if we can produce 20% estimate, return on equity, which we've been doing on an annualized basis. And then you extrapolate that and then you start saying, why are we going to go buy stock if we're not totally believing that it's really opportunistic when we can generate double-digit increase in earnings per share anyway, right. And so I guess it's a Rubik's Cube type thing. And as I said, we don't believe that the stock – we think the stock price is a good buy today for the reasons that we just talked about. But there's no pressure and rush to do it.
Nathan Race: Understood. I agree. And I appreciate all the color again. Thanks, Tom.
Operator: And ladies and gentlemen, at this time, I'm showing no additional questions. I would like to turn the floor back over to management for any closing remarks.
Thomas Travis: Well, again, we're very happy with our quarter. Our company is broadening and deepening every day and our fundamentals are strong. Our management team is intact and we're happy with each other and we're really proud of our lending team and our bankers and we really appreciate the support we get from the market and the analysts and we're excited about the rest of the year, especially being in the markets that we're in. So thank you very much.
Operator: And ladies and gentlemen, with that we'll conclude today's presentation. We do thank you for joining. You may now disconnect your lines.